Operator: Good morning and welcome to the Allegro MicroSystems Fourth Quarter and Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be question and answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker for today, Jalene Hoover, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Jalene Hoover: Thank you, Crystal. Good morning and thank you for joining us today to discuss Allegro's fiscal fourth quarter and full year 2024 results. I'm joined today by Allegro's President and Chief Executive Officer Vineet Nargolwala; who will provide highlights of our business, review our quarterly financial performance, and share our first quarter 2025 outlook. Allegro's Chief Financial Officer, Derek D'Antilio is not in attendance today due to a personal matter. We will follow our prepared remarks with the Q&A session. Our earnings release and prepared remarks include certain non-GAAP financial measures. The non-GAAP financial measures that are discussed today are not intended to replace or be a substitute for our GAAP financial results. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings release, which is also available in the Investor Relations page of our website at www.allegromicro.com. This call is also being webcast and a replay will be available in the Events and Presentations section of our IR page shortly. During the course of this conference call, we will make projections and other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution that such statements are based on current projections and assumptions as of today's date and as a result are subject to risks and uncertainties that could cause actual results or events to differ materially from projections. Important factors that can affect our business, including factors that could cause actual results to differ from our forward-looking statements are described in detail in our earnings release for the fourth quarter and fiscal year 2024 and in our most recent periodic filings with the SEC, Securities and Exchange Commission. Our estimates or other forward-looking statements may change and the company assumes no obligation to update forward-looking statements to reflect actual results, changes to assumptions or other events that may occur, except as required by law. I will now turn the call over to Allegro's President and CEO, Vineet Nargolwala. Vineet?
Vineet Nargolwala: Thank you, Jalene, and good morning, all, and thank you for joining our fourth quarter and full year fiscal year 2024 conference call. We are pleased to have delivered fourth quarter revenue and EPS above the high end of our guidance range despite a challenging macro environment. This is a testament to the hard work and dedication of our Allegro team that always puts customers first and innovates with purpose. For full year fiscal 2024, we delivered 8% revenue growth with e-mobility growing 38% and 5% EPS growth. I'm proud of the above-market performance the company has delivered and the progress we have made in serving our customers and positioning the company for sustained long-term growth. We delivered record annual sales of more than $1 billion, a company first, as well as a record level design wins of more than $1 billion. E-mobility, which includes the increasing electrification of vehicles and the higher adoption of ADAS features, continues to drive Allegro's above market growth and accounted for more than half of our design wins in fiscal year 2024. From a new product standpoint, we kicked off a record number of products and introduced over 30 new products to the market emphasizing our ongoing commitment to innovation. We extended our leadership in magnetic sensing with the acquisition of Crocus. We're seeing great excitement from our customers for a highly differentiated ExtremeSense TMR technology that presents the greatest accuracy, lowest power and highest sensitivity for the world's most demanding applications. Not only are we fanning TMR across our automotive and industrial products, but we are also excited about expanding into medical applications such as continuous glucose monitoring with the leading biomedical OEMs. We have made significant strides in expanding our operational capabilities, building supply chain resilience and improving delivery and quality experiences for our customers. Through our continuous portfolio review process, we also made the decision to seize investment in our Photonics business to prioritize resources and investments on continued innovation and development of our leading magnetic sensing and power portfolios. In summary, fiscal year 2024 was a successful year, with much to be proud of and celebrate for team Allegro. Now there's been a lot of discussion on whether xEV momentum is slowing. The facts are that battery electric vehicles are only 15% of global production and growing at 25%. While hybrids are 22% of global production, and growing at 16%. And every OEM is working furiously to bring new xEV models to market. The good news for Allegro is that our content on both platforms is equally strong, and much higher than that on ICE vehicles. So Allegro wins no matter which platforms, OEMs choose to invest in and grow. And the geographical lens is very important too. xEVs now represent nearly half of total China auto sales, and Chinese OEMs are expanding their global share with economical and compelling products. This is why, continuing to win with Chinese OEMs is increasingly important, and why we have doubled down on our presence with our China-for-China manufacturing initiative. I was in China a few weeks ago, and I'm pleased with the progress we are making and the continued strong support we have with Chinese OEMs and Tier 1s for Allegro's unique value proposition. And we are making great progress outside of China as well, with global OEMs that are shaping the future of e-mobility. Our magnetic sensing and power solutions are finding great resonance, with customers in a broad range of applications. And the Allegro team remains focused on executing our product strategy, continuing to win in the target markets and serving our customers. Now, let me spend some time discussing what we're seeing in our end markets. Our first quarter sales outlook, comprehends ongoing inventory rebalancing in automotive and inventory digestion in the channel, resulting in what we expect to be a trough revenue quarter before returning to sequential growth, thereafter. We are working closely with customers and channel partners, to manage orders to reduce inventory and return to normalized business levels as quickly as possible. In specific instances, we are providing pricing support to the channel to help clear inventory. Our OEM contract renewals have taken place, with pricing largely in line with historical patterns. At a macro level, auto productions are expected to be stable, with double-digit growth in xEVs. Industrial end markets are generally expected to remain muted, with lower demand and broader market recovery expected in the second half of the calendar year or later. Against this backdrop, we are really excited about a slew of innovative new product launches for fiscal 2025. These include our highly anticipated silicon carbide high-voltage gate driver this quarter, new high-speed current sensors and position sensors including TMR, a new portfolio of intelligent motor drivers with risk architecture, expansion of our TMR portfolio into a broader set of low-power medical applications. And later this month, we will be launching a portfolio of products to support the 48-volt transition in vehicles, as well as in industrial applications like data center and clean energy. These new products and record level design win pipeline, reinforce our confidence in the ability to grow above market over the mid- to long term, consistent with our target financial model. And we continue to invest in R&D and sales, while we navigate near-term inventory corrections to maximize growth in strategic focus areas. I will now review the Q4 financial results. Sales were $241 million. Gross margin was 53.8%. Operating income was 23.8% and adjusted EBITDA was 30.7% of sales. As a result, earnings were $0.25 per share. Q4 sales declined by 6% sequentially and 11% year-over-year. Sales to automotive customers were $182 million, down 7% sequentially and up 2% year-over-year representing 76% of Q4 sales. E-mobility sales declined by 14% sequentially and were 49% of fourth quarter auto sales. Industrial sales were $44 million, declining 5% sequentially and 29% year-over-year. Other sales, which includes consumer applications were $15 million up 4% sequentially and down 48% year-over-year. From a product perspective, magnetic sensor sales were $146 million declining 5% sequentially and 13% year-over-year. Sales of our power products were $94 million declining 7% sequentially and 9% year-over-year. Sales by geography were again well-balanced with 27% of sales in China, 26% of the rest of Asia, 18% in Japan, 16% in Europe and 13% in the Americas. Operating expenses were $72 million, a decrease of $2 million or 3% from a year ago and inclusive of a full quarter of Crocus. Fourth quarter R&D expenses were 17% of sales and SG&A was 13% of sales. Operating margin was 23.8% of sales compared to 27.2% in Q3 and 30.2% a year ago. The effective tax rate for the full year was 11%. The effective tax rate for the quarter was 9.5% down sequentially primarily as a result of R&D tax credits. The fourth quarter diluted share count was 194.5 million shares and net income was $48 million or $0.25 per diluted share. Turning to full year 2024 results. Fiscal 2024 was another strong year for Allegro with sales increasing 8% year-over-year to a record $1.05 billion. Gross margin was 56.3%. Operating margin was 28.5% of sales. Adjusted EBITDA was 34.7% and earnings per share were a record $1.35 per share. Sales to automotive customers increased by 17% led by a 38% increase in e-mobility sales. Industrial sales increased by 7% year-over-year and other sales declined by 44% during the year. Moving on to product sales. Magnetic Sensor sales increased by 9% year-over-year to $650 million or 62% of total sales. Sales of our power products increased by 7% year-over-year to $399 million. Moving to the balance sheet and cash flow. We ended Q4 with cash of $222 million. Cash flow from operations in the fourth quarter was $13 million and capital expenditures were $14 million. During the quarter we made a tax payment of $41 million to repatriate Crocus IP which we expect to largely recover through US tax credits in fiscal 2025. Excluding this payment Q4 operating cash flow was $54 million and free cash flow was $40 million or 17% of sales. Full year cash flow from operations was $182 million. Capital expenditures were $125 million and free cash flow was $57 million or $98 million excluding the Crocus related tax payment. From a working capital perspective Q4 day sales outstanding was 45 days compared to 41 days in Q3. Inventory declined by another $3 million sequentially and days of inventory were 126 days compared to 124 days in Q3. Finally, I'll turn to our Q1 outlook. We expect first quarter sales to be in the range of $160 million to $170 million as we work with customers to reduce their inventory levels. Based upon our backlog, fill rates and customer demand we anticipate low double-digit sequential growth going into Q2. We expect Q1 gross margin to be between 49% and 50%, which reflects a combination of capacity underutilization, product mix and price adjustments primarily in distribution. We expect operating expenses to be between $72 million and $73 million. We project our non-GAAP tax rate to be 12% and our diluted share count to be approximately 196 million shares. In April, we also made a $50 million voluntary payment on our $250 million term loan which is projected to reduce our annual interest expense by approximately $4 million. As a result, we expect non-GAAP EPS to be between $0.01 and $0.03 per share. Recall that we have been taking actions over the past year to reposition our company for long-term growth, which contributed approximately $15 million or a 10% decline in organic operating expenses during the second half of fiscal 2024 compared to the first half of the year. So we entered fiscal 2025 with an optimized footprint and ready to serve our customers and grow. I am very proud of what we've achieved over the past year to navigate inventory dynamics while delivering record financial results. I would like to thank the entire Allegro team for this terrific performance and their dedication in serving our customers. I'll now turn the call back to Jalene for questions. Jalene?
Jalene Hoover: Thank you, Vineet. This concludes management's prepared remarks. Before we open the call for your questions, I'd like to share our first fiscal quarter conference line up with you. We are attending TD Cowen's 52nd Annual TMT Conference on May 29 at the InterContinental New York Barclay; and Mizuho's 2024 Technology Conference at the JW Marriott Essex House New York on June 12. We will now open up the call for your questions. Operator, please review Q&A instructions.
Operator: Thank you. We will now conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Gary Mobley of Wells Fargo Securities. Your line is now open.
Gary Mobley: Good morning, everybody. Thanks for taking my questions. My thoughts are with Derek, who's presence on the call is missed. And my question is this outlook for low-double-digit percent sequential revenue growth in the Q2, which presumably puts the number at about $180 million in revenue or more, is that representative of true end demand? Or is that still under shipping end demand? And maybe you can just give us a sense of maybe the continued rate of revenue recovery after the second quarter? Thank you. And I have a follow-up.
Vineet Nargolwala: Hey, Gary. This is Vineet. Thanks for your question. Thanks for your kind comments as well. We do expect to start to return to normal ordering patterns. We've talked about automotive was the last end market to enter into an inventory rebalancing mode. We believe it's going to be the first one coming out of it. I think this quarter is going to be instrumental in getting it there for us. And we expect order to return to sequential growth coming out of Q1. And I think the mid -- low to mid-double-digit is the right way to think about it.
Gary Mobley: Okay. Now some of the factors pressuring gross margin that you admitted to, I guess, a little bit concerning, right, especially with respect to "price" support to clear the channel. And I was hoping to flush out some additional details there. Is that going to be indicative of the pricing trend going forward? Is that something customers and distributors are going to grow accustomed to? Maybe you can just give us some level of comfort that is a temporary pricing situation?
Vineet Nargolwala: Yes. Gary, it's a great question and it's a fair question. I would characterize our pricing support as temporary and really very targeted with certain distributors. When you look at our Q4 to Q1 transition on the gross margin, only about 100 basis points is due to price and mix, okay? The vast majority, I would say about 300 basis points, is really the underutilization, which is temporary here in the first quarter. We've taken prudent actions to obviously around direct labor and so on and so forth. But obviously, there's a certain amount of fixed cost that doesn't go away. And so that's really representative of that. And it's largely been in our distribution channel, again, that's where we believe bulk of the inventory problem resides.
Gary Mobley: Thank you.
Vineet Nargolwala: Thanks, Gary.
Operator: Thank you for your question. Please standby for our next question. Thank you. Our next question comes from the line of Chris Caso of Wolfe Research. Your line is now open.
Chris Caso: Yes. Thank you. Good morning. I wonder if you could give a little more color on what was discussed on pricing. And more specifically in terms of the guidance here how much of the sequential decline is driven by units presumably reducing inventory in the channel as compared to pricing? And then maybe similar with the visibility for the September quarter and indication you provided there. Is that more of a function of pricing coming back into September or kind of resumption in unit orders?
Vineet Nargolwala: Yes. Hi, Chris. Thanks for the question. As I mentioned earlier pricing is actually the smallest part of the transition. And so we really think, it's volume here in Q1 and as that starts to come back as we get out of this inventory digestion mode and get back to sequential growth going into Q2, we expect that to moderate, right? So our utilization is going to get increased and we should start to see the margins come back as well.
Chris Caso: Okay. With respect to the comments on EV versus hybrid, the slowdown in EV has been kind of well-documented here. You pointed out that hybrid you've got equal content there. But I imagine there's got to be some transition as some of the OEMs kind of shift that around. Can you speak to that of -- to what extent is some of the slowdown you're seeing now attributed to a slowdown in EV? And how do you see that transition to hybrid as we have heard that the number of OEMs have accelerated the hybrid programs, but it probably is an immediate effect?
Vineet Nargolwala: Yes, Chris. So it's a great question. And we have really a global purview on the automotive market. And when you look at our geographical balance, it's really indicative of how the automotive were sort of splits out by region. And I would tell you that in the -- outside of the US we really don't see any slowdown in both EV production, but also in design of new EV programs. Your question regarding a shift between EVs and hybrids. I would tell you that the components that we ship into hybrids and EVs are largely the same. It's just a matter of -- and in a lot of cases we don't know exactly where they end up because other than a few customers where they only have a few products on the market most of our customers have a very broad portfolio under multiple brands in multiple regions. So it's very hard to figure out where exactly a part might end up. But a hybrid platform benefits from both an EV, powertrain as well as the traditional ICE powertrain. And we think that that's actually a net positive for Allegro same content as we see in a pure battery electric vehicle. It's just that the rating of the power unit might be a little different. So the rating on our part might be a little different. But other than that we really don't see any difference in the content. We ship to EV or to a hybrid. Of course, when it comes to the actual logistics of part numbers and making sure you got the right part there's obviously some considerations there. And our belief is that our customers and our Tier 1s are pulling the right strings to make sure that the right inventory is getting to the right customer for the right program. Hopefully that answers your question.
Chris Caso: It does. Thank you.
Operator: Thank you for your question. Please standby for our next question. Our next question comes from the line of Joshua Buchalter of TD Cowen. Your line is now open.
Joshua Buchalter: Hi, Vineet. Thanks for taking my question. Good morning. Echo the thoughts to Derek and his family I hope all is okay. I guess if I look at the June guidance you had previously flagged that you expected that quarter down and Street gets things wrong all the time but this is materially below the Street. And it seems like at least from speaking with you last quarter worse than you originally expected. Maybe you could spend a couple of minutes of just talking about what changed and what worsened that's driving the weaker outlook in June at least versus -- certainly versus what the Street was expecting and I think versus what you guys were expecting as well? Thank you.
Vineet Nargolwala: Josh, thanks for the question and kind of thoughts as well. The -- as we said in the last quarter, we started seeing automotive enter into an inventory rebalance more that was reflected in our Q4 guidance. It ended up being a little bit better than expected. Our Q1, as we talk to our customers and their Tier 1s, we noticed that there was an opportunity and some of this is related to the push-pull between different parts and so on. Remember, we don't actually plan for each quarter, right? We plan for the year and between quarters, there's a lot of push and pull between with customers on ordering one part versus pulling another part. And so, what we're seeing in Q1, is a result of two things. One is, us working very actively with our customers to actually make sure that inventory levels and the Tier 1s and the CMs come down to normal levels as quickly as possible, so we can all get back to sequential growth. And the second, I think is a reflection of the normal push and pull that happens between quarters on orders, okay? And so that's really the different versus what perhaps, we had signaled in the last quarter -- in the last earnings call.
Q – Joshua Buchalter: Thanks for color there. I guess my follow-up on -- unless I'm doing it wrong it looks like E-mobility was actually materially worse than the legacy auto parts this quarter. Anything to read there? And then, any I guess metrics you can give us whether bookings, backlog, book-to-bill things like that to sort of help us with better understand the return to double-digit sequential growth in the September quarter? Thank you.
Vineet Nargolwala: Yes. Thanks, Josh. So I would tell you that, it's really an artifact of the normal push full that happens between quarters. We look at the full year. And when we look at full year 2024, E-mobility grew 38%. So almost 40% on a year-over-year basis, really powering our growth in automotive which overall grew 17%. So we really have no complaints about our performance in E-mobility and we continue to see great momentum over half our design wins in fiscal 2024 came from E-mobility and Automotive. So great momentum, team continues to do a great job of executing on new products, really well aligned with the customer needs and really out-innovating whatever is out there in the marketplace. And the design wins give us a lot of confidence in the mid- to long term. So, I'm not worried at all about our ability to execute our strategy in E-mobility and really outperform the market. When we look at our Q1 to Q2, as I mentioned before, it's really a function of what our customers want us to ship to them. I said before, Auto was the last industry to go into inventory rebalance board. We believe it will be the first one to come out of it, and we expect Auto to return to sequential growth going from Q1 to Q2. And industrial, it's still too early to tell. We think it's stable at the lower levels now. Recoveries potentially in the second half could be later. But really our return to sequential growth is going to be driven by auto. And within that, I think E-mobility is going to lead the way.
Q – Joshua Buchalter: Thank you.
Operator: Thank you for your questions. Please standby for our next question. Our next question comes from the line of Quinn Bolton of Needham & Company. Your line is now open.
Q – Quinn Bolton: Hi. Thanks for taking my question. I offer my best wishes to Derek and his family. Vineet, I guess two questions for you. One, on the price adjustments in the channel. Can you say, is this a onetime price adjustment on things that you've already shipped where you're going to take an adjustment to prices onetime to sort of clear the channel? Or will you be taking lower prices on a go-forward basis, on new products shipped into the channel? And then I've got a follow-up question.
Vineet Nargolwala: Quinn, thanks for the question and also the kind thoughts. It is exactly the onetime phenomenon that you pointed out. So, we recognize as we work with our distributors particularly in Asia, that they needed support to clear the inventory and we've been very targeted. And so, we've given onetime price support in a very targeted fashion to help our distributors clear the inventory. I would tell you that, we launched over 30 new products to the market in fiscal 2024. The ASPs on those new products are higher than our fleet and are holding up really well. So we don't expect the pricing phenomenon that I highlighted here to be an ongoing phenomenon.
Quinn Bolton: Understood. And then just -- I know you're not getting out kind of beyond the first quarter, but you sort of talked about the return to low double-digit sequential growth. Obviously, where that implies revenue would be for the September quarter still well below the run rate that you've been running at for the past several quarters. Do you expect that low double-digit growth rate to continue for multiple quarters?
Vineet Nargolwala: Yes, Quinn, we do, right? So I think it's going to be a bit of a climb back to our -- what I would call our normal operating quarterly run rates. We feel really good about getting there in this fiscal year but it might take us a couple of quarters to get there. So I think thinking about it in terms of low to mid double-digit growth rates sequentially is the right way to think about it.
Quinn Bolton: Got it. Thank you.
Operator: Thank you. Please standby for our next question. Thank you. Our next question comes from the line of Vijay Rakesh of Mizuho. Your line is now open.
Vijay Rakesh: Yes. Hi, Vineet. I would like to echo my thoughts for Derek as well. Just a question on the guide, wondering you missed that. Like -- was there something that you missed for the drive-down that you probably would have seen before? And was the inventory primarily all dis-inventory?
Vineet Nargolwala: So Vijay I'm not sure about your first question in terms of a miss. We expected some level of inventory correction. Let's come back to what we said in the last earnings call. We said, we're seeing auto now enter into an inventory rebalance mode. Typically Tier 1s and CMs hold about four to six weeks of inventory. Through the supply crisis, they have been asked by the OEMs to hold 10 to 12 weeks of inventory and we're actually getting some price support and incentives to hold that inventory. As the supply prices abated the incentives went away and as the interest rates went higher and stayed higher the cost of carrying that inventory started to bite. And so the CMs in the Tier 1 started to pay their inventory levels back to four weeks to six weeks. And so we expected that to happen over a couple of quarters. It's happening a little sharper sooner than I think we had originally thought about it. But what it does from a positive standpoint is creates a clearing event where now we can start to get back to sequential growth. And what was your second question with Vijay?
Vijay Rakesh: Yes. I think it is more on I mean I just want to add another question. If you look at the inventory you mentioned automotive and disti and Asia as where the plan was. Is there any concern that -- I mean is it a particular customer or a company that issue we can talk to that obviously just primarily a very broad auto Asia disti inventory?
Vineet Nargolwala: Yes. So it's actually more broadly industrial inventory in the channel. And as we know and some of our peers have also called out that industrial continues to be in this sort of long U-shaped or a back-up shaped inventory correction which is compounded by lower demand. Industrial -- our industrial OEMs are probably most sensitive to interest rates Vijay.
Vijay Rakesh: Yeah.
Vineet Nargolwala: And so we think there's actually lower demand as well. So we've really been giving price support to our distributors in Asia where most of the electronics manufacturing happens for our industrial customers, right? So that's the way to think about it and that sort of geographic connection. Within automotive, we are mostly direct to OEM or direct to the Tier one model. In Asia, there's a little bit of inventory in China and Japan that is used to service our OEMs there, mainly because they hold the paper and they do first-level quality support. There's a little bit of inventory there but it's not something that keeps us up at night.
Vijay Rakesh: Got it. Thanks. And last question I think on the fiscal 2025, I know you've not given the full year guide yet, but how would you see that year-on-year versus, I think you've talked about 25% [indiscernible] 18%, automation, but any thoughts on that?
Vineet Nargolwala: Yes, Vijay, we're not guiding for the full year. I think the best we can talk about now is what we see sort of sequentially from Q1 to Q2. And we think it's going to be -- that trend is probably going to -- for the next couple of quarters in terms of low-to-mid double-digit sequential growth. Okay.
Vijay Rakesh: Got it. Thank you.
Operator: Thank you for your question. [Operator Instructions] Our next question comes from the line of Mark Lipacis of Evercore ISI. Your line is now open.
Mark Lipacis: Hi. Thanks for taking my question. Vineet, how does ramping utilization rates down and then back up again work operationally. Is this fab shutdown you just -- are you take utilization rates way low? And then, I guess the question then becomes, like how quickly do you get back to whatever the normalized loadings are and I imagine there may be still residual underutilization charges as you kind of ramp back up in Q2. Is that a reasonable expectation? And then I had a follow-up. Thanks.
Vineet Nargolwala: So Mark, thanks for the question. So Mark, we don't own a fab, not anymore. So really the underutilization is happening in our assembly operations and test operations in the Philippines. As a reminder we do only 50% of our assembly in our factory in the Philippines and we do 100% of our test. And so the underutilization really is happening there. And I would say that our team has done a terrific job of managing the short-term costs whether it's shifts, whether it's furloughs and so on. And so we retain the ability to snap back very quickly as we have seen and we believe that auto is going to come back here very quickly. On a sequential basis, we have the ability to support that. In addition, we've been continuing to bank build in Dibang [ph] which gives us the ability to turn pretty quickly. And so it reduces the lead time that we have internally to respond to our customers. Okay.
Mark Lipacis: That's helpful. And a follow-up if I may. Separately a lot of times you have an overbuild is followed by an overcorrection and everybody lowers utilization and then there's a restock and then you have tightness and then you start to overbuild process again. And when you said that six weeks is normal in the channel, now they're shooting to four to six weeks in a lower demand environment, it sounds like you might be setting up for that classic cycle. So, I guess my question is, do you -- what is your feel on this situation? Is that dropped to four to six weeks? Is that kind of set us up, like how do you manage that operationally for Allegro? Thank you.
Vineet Nargolwala: Yes. So, Mark, it's a great question. And frankly, I would tell you that most of my peers in the industry are really trying to get their arms around this. So the way to think about it for us is this, our auto customers, especially the Tier 1s and the CMs, are very comfortable operating at four to six weeks. That's been their normal mode. The OEMs believe that's a little under cook, so they would like them to hold a little bit more. So I think we get back into balance here over the next couple of quarters. Our distribution channel, which largely sells industrial and consumer and a little bit of auto in Asia, is very comfortable in the 10 to 12-week range. And we know that because of lower industrial demand and a little bit of over-ordering, I would say, in industrial and consumer, that is definitely higher than the 10 to 12 weeks. And so, we think that they will come back into balance year, through the year and really the industrial demand needs to pick up in order for that inventory to start -- the POS to start flowing again. We're seeing some green shoots to be honest in our POS, but a couple of months don't make a trend. But we are optimistic that this will start to form a true demand pattern. I think coming back to the question you raised, are we going to be ready for the up cycle? I think that's what you were hinting at. Our ability to work very closely with our supply chain, the process improvements, the cycle time improvements we've made internally, the bank build we've done, the geographical resilience we've built into our supply chain. We've actually gone from a monolithic supply chain to a pretty diversified supply chain in the last 18 months. So, I'm really proud of what the team has done there, and that sets us up really well to respond to any snapback in demand here in the near-term.
Mark Lipacis: Very helpful. Thank you, Vineet.
Vineet Nargolwala: Thanks Mark.
Operator: Thank you for your question. Please standby for our next question. Our next question comes from the line of Thomas O'Malley of Barclays. Your line is now open.
Unidentified Analyst: Hey, guys. Thank you. This is Kyle Lucian [ph] on for Tom O'Malley. Thank you for taking my question. So I was kind of wondering for the June decline, how much of that would you attribute to volume versus pricing support?
Vineet Nargolwala: It's mostly volume.
Unidentified Analyst: Mostly volume. All right. Thank you. And then for my follow-up, you characterized industrial as approving later this calendar year. Can you give an idea of kind of the shape of that recovery? Like would you extract strong growth off the bottom as we've typically seen in prior cycles? Or do you expect just modest improvement initially?
Vineet Nargolwala: It's hard to tell Kyle. At this point, we are very targeted in our exposure to industrial markets. So it's very focused on clean energy, including data centers, EV charging, industrial automation. And we see some really good design win momentum there. And certainly, there's a lot of regulations and government investment and incentives that are driving momentum in those markets. We are -- we feel reasonably confident that as the inventory position starts to work down, those industrial markets will get back to growth in a meaningful way. It's hard to call the timing though. But we've been sort of in this inventory correction mode for a few quarters now. We expect it to continue for another couple, optimistic here that in the second half of our fiscal 2025 we should start to see the industrial markets come back to growth.
Unidentified Analyst: Awesome. Thank you.
Operator: Thank you for your question. I am showing no further questions at this time. I would now like to turn the call back over to Jalene Hoover for closing remarks.
Jalene Hoover: Thank you, Crystal. We appreciate you taking the time to join us this morning. This concludes this morning's conference call.